Operator: Greetings, and welcome to the Weyerhaeuser Fourth Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded It is now my pleasure to introduce your host, Andy Taylor, Vice President of Investor Relations. Thank you, Mr. Taylor, you may begin.
Andy Taylor: Thank you, Rob. Good morning, everyone. Thank you for joining us today to discuss Weyerhaeuser's fourth quarter 2024 earnings. This call is being webcast at www.weyerhaeuser.com. Our earnings release and presentation materials can also be found on our website. Please review the warning statements in our earnings release and on the presentation slides concerning the risks associated with forward-looking statements as forward-looking statements will be made during this conference call. We will discuss non-GAAP financial measures, and a reconciliation of GAAP can be found in the earnings materials on our website. On the call this morning are Devin Stockfish, Chief Executive Officer; and Dave Wold, Chief Financial Officer. I will now turn the call over to Devin Stockfish.
Devin Stockfish: Thanks, Andy. Good morning, everyone, and thank you for joining us. Yesterday, Weyerhaeuser reported full year GAAP earnings of $396 million or $0.54 per diluted share on net sales of $7.1 billion. Excluding special items, full year 2024 earnings totaled $384 million or $0.53 per diluted share. Adjusted EBITDA totaled $1.3 billion for the year. For the fourth quarter, we reported GAAP earnings of $81 million or $0.11 per diluted share on net sales of $1.7 billion. Adjusted EBITDA was $294 million, a 25% increase over the third quarter. I'll start this morning by expressing my sincere gratitude to our Weyerhaeuser employees for their solid execution and dedication in 2024 in what was a very challenging market backdrop. Through their collective efforts, we continue to serve our customers, delivered industry-leading operating performance and drove meaningful improvements across each of our value levers in the investment thesis. Notably, we grew our timberlands through acquisitions in Alabama, announced plans to expand our engineered wood products portfolio, advanced our Natural Climate Solutions business and captured additional operational excellence improvements. We also increased our base dividend by more than 5% and returned $735 million of cash to shareholders based on our 2024 results, including $153 million of share repurchase. I'm incredibly proud of these accomplishments, all of which support our growth strategy and drive long-term value for our shareholders. Before moving into the business segment results, I'd like to comment briefly on an exciting growth initiative within our EWP business, which is summarized on Page 24 of our earnings slides. As we announced in the fourth quarter, we plan to invest approximately $500 million to build a state-of-the-art TimberStrand facility in Arkansas. TimberStrand is a proprietary and versatile engineered wood product with applications in residential, industrial and mass timber end markets. The new facility will address an underserved and growing market for the product in the U.S. South and showcases Weyerhaeuser's innovation in Wood Products. Notably, we combined institutional expertise from our existing TimberStrand facility in Canada with extensive research and development to enable manufacturing of the product with southern yellow pine as the primary feedstock. Given its location in Arkansas, the new facility will deliver seamless integration with our existing timberlands and distribution network. In fact, approximately 80% of the raw material sourcing for the facility will come from Weyerhaeuser of the timberlands, resulting in an excellent new outlet for our southern fiber logs in the region. Construction of the facility will begin this year with startup expected in 2027. Once fully operational, the facility will add 10 million cubic feet of production, doubling Weyerhaeuser's TimberStrand offering and increasing total company EWP capacity by approximately 24%. In addition, the facility is expected to generate over $100 million of annual adjusted EBITDA, with additional upside from portfolio integration benefits. We're excited to bring this new facility online and look forward to expanding our footprint and workforce in Arkansas. With that, I'll now turn to our fourth quarter business results, starting with Timberlands on Pages 7 through 10. Timberlands contributed $62 million to fourth quarter earnings. Adjusted EBITDA was $126 million, a slight increase compared to the third quarter. In the West, adjusted EBITDA was comparable to the third quarter. Turning to the Western domestic market. Log demand improved in the fourth quarter as mills responded to strengthening lumber prices and a seasonal reduction in log supply across the system. As a result, pricing for grade logs increased as the quarter progressed and moved substantially higher in December. That said, our average domestic sales realizations were comparable to the third quarter due to mix. Our sales volumes to domestic customers increased moderately as we reduced shipments to our customers increase, moderately as we reduce shipments to customers in China. Per unit log and haul costs were comparable to the third quarter and forestry and road costs were seasonally lower. Our fee harvest volumes were slightly lower, largely due to fewer working days in the fourth quarter. Moving to our Western export business. In Japan, log markets remained soft in the fourth quarter due to ongoing consumption headwinds and elevated inventories of finished products for our customers. As a result, our sales volumes and average realizations for export logs to Japan were slightly lower compared to the third quarter. However, inventories and shipments of European lumber imports decreased as the quarter progressed, allowing our customers to pick up market share. As a result, we expect stronger demand for our Japanese export logs in the first quarter. In China, despite ongoing consumption headwinds, log markets remained relatively stable in the fourth quarter and demand from our strategic customers was steady. That said, our sales volumes into China were significantly lower as we intentionally flex logs to our domestic customers. Our average sales realizations were comparable to the third quarter. Turning to the South. Adjusted EBITDA for Southern Timberlands increased by $2 million compared to the third quarter. Southern sawlog markets remained muted in the fourth quarter as log supply was ample and mills continued to align capacity with lower takeaway of finished goods. This was partially driven by the seasonal reduction in lumber demand around the holidays. In contrast, Southern fiber markets were generally stable. On balance, takeaway for our logs remained steady given our delivered programs across the region, and our average sales realizations increased slightly compared to the third quarter, largely driven by a higher mix of grade logs. Our fee harvest volumes and forestry and road costs increased in the fourth quarter as operating activities in certain regions shifted from the prior quarter due to wet weather conditions. Per unit log and haul costs were comparable to the third quarter. In the North, adjusted EBITDA increased slightly compared to the third quarter, largely driven by higher fee harvest and sales volumes given favorable weather conditions. Turning now to real estate, energy and natural resources on Pages 11 and 12. In the fourth quarter, Real Estate and ENR contributed $46 million to earnings. Adjusted EBITDA was $76 million, and largely in line with third quarter results. For the full year, the segment generated $349 million of adjusted EBITDA, slightly higher than our revised full year guidance and $29 million higher than our initial outlook. These results were largely driven by solid demand and pricing for HBU properties in our real estate business, resulting in high-value transactions with significant premiums to timber value. They also reflect a significant year-over-year increase in contributions from our Natural Climate Solutions business. As shown on Page 23, full year adjusted EBITDA for NCS was $84 million, a 79% increase compared to 2023, primarily driven by strong contributions from our conservation, mitigation banking and renewables business, where we continue to see solid demand. In Forest Carbon, we achieved notable milestones in 2024, including the approval and credit issuance from our second project located in the U.S. South and a new issuance of credits from our project in Maine. In the fourth quarter, we sold approximately 50,000 credits in the voluntary market. We continue to see strong demand and premium pricing for our credits given our commitment to developing projects that meet high standards for quality and integrity. Looking forward, our Forest Carbon pipeline is developing rapidly, and we currently have seven additional projects in progress. For 2025, we expect a significant increase in credit generation and sales relative to the last couple of years. In renewables, demand continues to increase for large-scale solar development and we're well positioned to capitalize on opportunities as markets continue to expand. We've signed approximately 70 agreements for potential solar projects across our portfolio and our first solar site commenced operations in the fourth quarter, and we have two additional sites currently under construction. With respect to wind, operations commenced on our seventh site in December and we expect an additional project to come online in the coming months. Turning briefly to our carbon capture and sequestration business. We continue to work closely with the developers on our three announced agreements and are in discussions with new counterparties for additional projects. While the time line for CCS and the permitting queue in particular has extended beyond our initial expectations, we remain confident that projects will ultimately be developed and continue to expect CCS to be a meaningful contributor to our NCS growth strategy over time. So, in summary, we continue to make excellent progress in our Natural Climate Solutions business, and we remain on track to reach $100 million of adjusted EBITDA by the end of this year. As we've said all along, early growth has largely been supported by our existing businesses. That said, we expect 2025 NCS results to include a meaningful increase in contributions from Forest Carbon credits. As we look beyond 2025, we see additional upside across the carbon and renewables businesses as those markets continue to develop. We built a world-class team with deep technical expertise and strong commercial focus, and we continue to believe there is no company in this space with the capabilities or asset base to deliver on this value creation opportunity at scale like Weyerhaeuser. Now moving to Wood Products on Pages 13 through 15. Wood Products contributed $106 million to fourth quarter earnings. Adjusted EBITDA was $161 million, a 77% increase compared to the third quarter, largely driven by an increase in lumber and OSB pricing. Starting with lumber. Fourth quarter adjusted EBITDA was $21 million, a $50 million improvement compared to the third quarter. Benchmark prices entered the fourth quarter on an upward trajectory, largely driven by supply constraints from recent curtailments and closures across the North American market, combined with a slight increase in demand as buyers replenish lean inventories. As the quarter progressed, demand signals moderated given typical seasonal slowdowns in building activity over the winter months. As a result, benchmark pricing declined slightly through year-end and has remained relatively stable in January. For our lumber business, production volumes were moderately higher in the fourth quarter as we returned to a more normal operating posture following market-related production adjustments in the prior quarter. Our sales volumes were comparable to the third quarter. Our average sales realizations increased by 9% in the quarter. Unit manufacturing costs were comparable and log costs were slightly lower. Turning to OSB. Fourth quarter adjusted EBITDA was $63 million, $24 million increase compared to the third quarter. Average benchmark pricing for OSB increased by 16% in the fourth quarter, primarily driven by resilient demand from single-family construction activity and limited open market supply. Our average sales realizations increased by 5% compared to the prior quarter, with the relative difference largely due to the length of our order files, which results in a lag effect for OSB realizations. Our sales volumes were moderately higher and unit manufacturing costs were moderately lower as production levels increased given less downtime for planned annual maintenance. Fiber costs were comparable to the prior quarter. Engineered Wood Products delivered $69 million of adjusted EBITDA, an increase of $8 million compared to the third quarter. Demand for EWP products was steady at the outset of the fourth quarter, given favorable weather conditions for homebuilding activity but softened seasonally as the quarter progressed. On balance, our sales volumes increased slightly compared to the third quarter, largely attributable to solid section products. Our average sales realizations decreased for most products as previously determined price adjustments took effect in certain markets. Our unit manufacturing costs improved compared to the third quarter and raw material costs were slightly lower for most products. In Distribution, adjusted EBITDA decreased by $4 million compared to the third quarter, largely due to seasonally lower sales volumes, primarily in December. With that, I'll turn the call over to Davie to discuss some financial items and our first quarter and full year 2025 outlook.
Dave Wold: Thank you, Devin, and good morning, everyone. I'll begin with key financial items, which are summarized on Page 17. We generated $218 million of cash from operations in the fourth quarter, bringing our total for the year to $1 billion. We ended the year with just under $700 million of cash and gross debt of $5.1 billion. Adjusted funds available for distribution totaled $567 million in 2024. And as summarized on Page 19, we returned $735 million back to shareholders based on 2024 results and actions. This includes our quarterly base dividends, which we increased by 5.3% in 2024 and $153 million of share repurchase activity during the year. Fourth quarter share repurchase activity totaled $28 million, and we have now completed approximately $900 million under our $1 billion share repurchase authorization. Entering 2025, we will continue to leverage our flexible cash return framework and look to repurchase shares opportunistically when we believe it will create shareholder value. It's worth noting that although our cash generation in 2024 was lower than the last couple of years due to challenging market conditions, we continue to demonstrate the durability of our portfolio and the flexibility of our capital allocation framework across market cycles. In addition to returning a meaningful amount of cash back to shareholders in 2024, we continued investing in our businesses and deployed capital towards strategic growth opportunities. These are notable achievements given the headwinds our industry faced in 2024 and a direct result of the actions we've taken over the last several years to make Weyerhaeuser a stronger and more valuable company. Looking forward, our balance sheet, liquidity position and financial flexibility remains strong, and we are well positioned to drive further advancements across all of our capital allocation levers. Fourth quarter results for our unallocated items are summarized on Page 16. Adjusted EBITDA for this segment decreased by $15 million compared to the third quarter. This was primarily attributable to an increase in variable compensation expense and a charge in intersegment profit elimination and LIFO, partially offset by a slight benefit in liability classified share-based compensation. Key outlook items for the first quarter and full year 2025 are presented on Pages 25 and 26. In our Timberlands business, we expect first quarter earnings and adjusted EBITDA to be approximately $20 million higher compared to the fourth quarter of 2024, largely driven by higher sales volumes and realizations in the West. Turning to our Western Timberlands operations. As Devin mentioned, pricing for domestic grade logs increased substantially in December, and we've seen additional upward momentum in January. This is being driven by healthy demand for logs in the domestic markets as mills navigate seasonally lower log supply and the prospect of improving lumber takeaway ahead of the spring building season. Given this dynamic, we expect higher domestic sales volumes and realizations compared to the fourth quarter. Absent weather-related disruptions, we expect our fee harvest volumes to be slightly higher in the first quarter. Forestry and road costs are expected to be moderately lower due to the seasonal nature of these activities, and per unit log and haul costs are expected to be slightly higher. Moving to the export markets, starting with Japan. As Devin mentioned, inventories and shipments of imported European lumber have decreased, allowing our customers to take market share. We expect this dynamic to continue through the first quarter. As a result, demand for our logs is expected to improve, and we anticipate higher sales volumes and realizations compared to the fourth quarter. In China, log demand is expected to moderate in the first quarter in response to reduced consumption during the Lunar New Year holiday. Given this dynamic, coupled with improving Western domestic market conditions, we expect to significantly decrease our sales volumes into China during the quarter. Our average sales realizations are expected to be comparable to the fourth quarter. Turning to the South. Despite ample log inventories, Southern sawlog demand is expected to improve slightly as mills navigate the risk of log availability challenges resulting from wet weather conditions that are typical in the first quarter. In contrast, we expect fiber markets to remain fairly stable. On balance, we expect our average sales realizations to be comparable to the fourth quarter. Our fee harvest volumes and forestry and road costs are also expected to be comparable, and we anticipate slightly higher per unit log and haul costs. In the north, our fee harvest volumes are expected to be slightly lower compared to the fourth quarter, and we anticipate moderately higher sales realizations. Turning to our full year harvest plan. For 2025, we expect total company fee harvest volumes of approximately 35.5 million tons, which is slightly higher than 2024. From a regional perspective, we anticipate the South and North will be slightly higher than last year, and the West will be comparable. Moving to our Real Estate, Energy and Natural Resources segment. We anticipate steady demand for our real estate properties in 2025 and continue to expect a consistent flow of transactions with significant premiums to timber value. In our Natural Climate Solutions business, we expect to reach $100 million of adjusted EBITDA by year-end. And as Devin mentioned, we anticipate a meaningful increase in contributions from forest carbon credit sales in 2025. For the segment, we expect full year 2025 adjusted EBITDA of approximately $350 million. Basis as a percentage of real estate sales is expected to be between 35% and 45% for the year. First quarter earnings and adjusted EBITDA are expected to be comparable to the fourth quarter of 2024. Turning to our Wood Products segment. Excluding the effect of changes in average sales realizations for lumber and OSB, we expect first quarter earnings and adjusted EBITDA to be slightly higher compared to the fourth quarter of 2024. It's worth noting that adverse weather conditions in January resulted in temporary downtime at several of our wood products facilities. We have since resumed normal operations and expect to capture affected volumes as the quarter progresses. As Devin mentioned, demand for wood products has softened into the winter months, which is typical for this time of year. That said, we expect market conditions and demand to improve from current levels as we head into the spring building season. Benchmark prices for lumber have been fairly stable since early December as supply and demand have approached a more balanced state. As for OSB, benchmark pricing entered the first quarter on a downward trajectory largely due to elevated channel inventories and seasonally softer demand. As shown on Page 27, our current and quarter-to-date average sales realizations for lumber are moderately higher than the fourth quarter average. For OSB, our current realizations are comparable to the fourth quarter average, while quarter-to-date realizations are moderately higher. For our lumber business, we expect higher production and sales volumes in the first quarter and lower unit manufacturing costs. Log costs are expected to be slightly higher, primarily for Western and Southern logs. For our Oriented Strand Board business, we anticipate moderately higher sales volumes compared to the fourth quarter. Fiber costs and unit manufacturing costs are expected to be slightly higher. Turning to our Engineered Wood Products business. we expect improving demand heading into the spring building season. As a result, we anticipate slightly higher sales volumes for most products in the first quarter. Our average sales realizations are expected to be comparable to the prior quarter and raw material costs are expected to be slightly higher, primarily for OSB web stock. For our distribution business, we expect adjusted EBITDA to be slightly higher compared to the fourth quarter as demand improves into the building season. I'll wrap up with some additional full year outlook items highlighted on Page 26. In 2025, we expect our interest expense to be approximately $270 million. For taxes, we expect our first quarter and full year effective tax rate to be between 16% and 19% before special items based on the forecasted mix of earnings between our REIT and taxable REIT subsidiary. Additionally, we anticipate moderately lower cash taxes relative to our overall tax expense. For pension and post-employment plans, our noncash, nonoperating pension and post-employment expense is expected to be approximately $75 million. We do not anticipate any required cash contributions to our U.S. qualified pension plan in 2025 but expect approximately $20 million of required cash payments for all other plans. As for capital expenditures, we expect our typical CapEx program to be approximately $440 million in 2025, which includes $120 million for timberlands, inclusive of reforestation costs, $310 million for Wood Products and $10 million for planned corporate IT system investments. This excludes the investment required in 2025 for the construction of our new EWP facility in Arkansas. The total investment for this facility is expected to be approximately $500 million and will be incurred between 2025 and 2027. As we've previously communicated, capital expenditures associated with this project will be excluded for purposes of calculating the Company's annual adjusted FAD as used in our flexible cash return framework. With that, I'll now turn the call back to Devin and look forward to your questions.
Devin Stockfish: Thanks, Davie. I'll make a few comments on the housing and repair and remodel markets. Starting with housing. Despite elevated mortgage rates for most of the year, single-family construction activity remained resilient in 2024 with starts increasing by 7% over the prior year. This was supported by healthy, underlying demand for housing, a limited inventory of existing homes on the market and incentives used by the homebuilders to offset affordability challenges. In contrast, multifamily starts decreased by approximately 25% in 2024, largely driven by higher interest rates and the wave of new units that came to market over the last 18 months. As we enter 2025, mortgage rates remain elevated, we'll likely continue to see some volatility with rates as the markets weigh potential impacts from policy decisions from the new administration as well as future Fed decisions on rates. Notwithstanding the rate environment, we're expecting new home construction to improve somewhat compared to last year. For the single-family segment, there are a few underlying dynamics that support our view. First, from a buyer psychology perspective, mortgage rates in the 6% to 7% range are increasingly being viewed as the new normal, which is a different mindset from a few years ago. Single-family starts reached 1 million units in 2024, a respectable level given the rate environment. We expect this positive trend for single family to continue into 2025, given solid underlying demand for housing with upside potential, if mortgage rates move meaningfully lower. Second, while we do expect to see more sales activity in the existing home market, the lock-in effect will largely remain in place, which will continue to support steady demand for new home construction. And finally, we believe the larger, public builders will continue to navigate buyer affordability challenges and are well positioned to increase production to meet pent-up demand. With respect to multifamily construction, we expect headwinds to persist in the near term as the market digests the latest wave of supply. But we could see a modest increase in activity in the back half of the year, which would be a tailwind for total housing starts. So, in summary, we should see some improvement in the housing market for 2025, assuming the economy and consumer remain healthy. And our longer-term view on housing fundamentals continues to be very favorable, supported by strong demographic trends and a vastly underbuilt housing stock. Turning to repair and remodel, activity was softer in 2024 compared to the last couple of years. This was largely driven by a significant reduction in the buying and selling of existing homes, which is normally a catalyst for R&R activity. In addition, inflationary pressures and elevated interest rates weighed on the consumer sentiment, particularly for lower end do-it-yourself projects. As for 2025, we're expecting repair and remodel activity to improve slightly compared to last year. That's based on our view that we'll see an uptick in existing home sales, which should increase demand for repair and remodel projects over the course of 2025. In addition, I think we've now worked our way through the pull forward of projects that occurred during the pandemic so this should be less of a headwind for R&R going forward. Looking further out, many of the key drivers supporting healthy repair and remodel demand remain firmly intact, including an aging housing stock. And I'd also note, there is a fairly significant amount of home equity that can be tapped for repair and remodel projects. As rates come down, this could be a meaningful tailwind for the segment. Finally, I'll provide an update on the progress we've made against the multiyear targets we announced at our Investor Day in September of 2021. As highlighted on Slide 21, we've made meaningful advancements on all fronts. Starting with our portfolio. Following our recent acquisitions in Alabama, we're now more than 3/4 of the way through our $1 billion Timberlands growth target. We've grown our Natural Climate Solutions business to $84 million of adjusted EBITDA. In terms of our operating performance, we've captured $117 million of margin improvements over the last few years, a notable achievement given the inflationary and market-related headwinds we faced during this period. Additionally, through the third quarter of 2024, we delivered peer-leading EBITDA margins across all of our Wood Products manufacturing business, and maintain the number one position in EBITDA per acre in Western Timberlands. On the ESG front, we remain committed to net zero by 2040 and have showcased leadership in carbon integrity by publishing our carbon credit and greenhouse gas inventory principles. And finally, we continue to demonstrate our commitment to returning meaningful amounts of cash back to shareholders, by increasing our quarterly base dividend by more than 5% annually and returning more than $5.3 billion of cash back to shareholders from 2021 through 2024. I'm extremely proud of the progress we've made against our strategic targets. Looking forward, we're committed to further advancements across each of these areas and are well positioned to achieve our multiyear goals by year-end. So, in closing, while 2024 was an extremely challenging year in many of our key markets, particularly lumber, I'm pleased with how the organization navigated this environment and executed well across our businesses. I believe this is a testament to our people and our strategy. Entering 2025, our balance sheet is strong, and we are well positioned to capitalize as market conditions improve. We remain focused on serving our customers and driving long-term value for shareholders through our unmatched portfolio, industry-leading performance, strong ESG foundation and disciplined capital allocation. With that, I think we can open it up for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Susan Maklari with Goldman Sachs. Please proceed with your question.
Susan Maklari: My first question is maybe digging in a bit to the commentary on demand around housing. I think Devin, it was good to hear that you see a path to some growth there for both new homes and R&R. I guess could you just give some more details on how you're thinking about inventories heading into the spring and the busy season there. And especially, any thoughts on retailers and how they're approaching this market given the potential for some inflation in commodity prices against a more uncertain macro backdrop?
Devin Stockfish: Yes. Sue, are you talking about inventories at the product level or housing specific?
Susan Maklari: Well, inventories at the product level, more than the housing side of things, yes.
Devin Stockfish: Sure. Yes. So, it's differential by product. I'd say on the lumber side, generally, inventories in the channel are relatively lean. That's certainly true for southern yellow pine and doug fir, maybe a little less so with SPF. I think there's some angst about what's going to happen with tariffs there, and that may be impacting things. On the OSB side, inventories are a little heavy. I think you saw a little bit of a backup in the channel around the holidays and so dealers and the home improvement warehouse customers are working through a little of that. On EWP, pretty normal for this time of year. As we think about heading into the spring building season in general, I think there's just more optimism in general across the board that we're going to see some level of improvement. That's certainly what we're hearing from most of our big builder customers. On the retail side, again, I think for that part of our customer base, there is some optimism that you're going to see some improvement in R&R this year. Last year was a pretty tough year on that front, and I think we're seeing just a little bit more optimism for how that's going to play out this year. It's always hard to tell when you're in the January time frame. Particularly, we saw a lot of weather, cold weather across the U.S. South here recently. That's not atypical. You see a little bit of tick down in demand in the colder months. But ultimately, I think the general view is we're going to see a better year this year.
Susan Maklari: Okay. That's helpful. And then following up, there's been obviously a lot of talk on tariffs or the potential for tariffs that could come through with the new administration. Can you talk about the implications across the various wood products and how that could potentially come in? And what it could mean for your margins and business?
Devin Stockfish: Yes. I mean, Sue, look, at a high level, I'll just note that it's still somewhat unclear if the tariffs are going to happen, when they're going to be put in place, how they're going to be affected. And so, there's still, I would say, a lot of unknown about how that's going to play out. But if you were to have a 25% blanket tariff on products coming in from Canada, there will be some puts and takes. Obviously, we do have operations in Canada, but the majority of our manufacturing is in the U.S. And so, on balance, I would expect you'd see prices go up somewhat, at least to the point where the Canadians and Canadian manufacturing send their product into the U.S. would be margin positive. Otherwise, you would expect capacity to come out of the system. So, I think it would have some upward pricing pressure. Obviously, lots of variables that go into that, including on the demand side. But directionally, I think you would see that go up. I would just note for us on the lumber side, about 80% of our lumber manufacturing is in the U.S. and our Canadian lumber relatively small percentage of that does go into the U.S., probably 20% to 30%. So not a terribly high percentage of our lumber production in Canada comes into the U.S. On the OSB and EWP side, the majority of the volume we produce in Canada does come in the U.S., so that would obviously be subject. But again, the vast majority of our production is in the U.S.
Operator: Our next question is from Ketan Mamtora with BMO Capital Markets. Please proceed with your question.
Ketan Mamtora: Devin, to start with, on the EWP side, can you talk a little bit about the progress you guys are making in recapturing share from open web floor trusses and this sort of dynamic this year when -- and it's been going on for a little while where sort of builders are providing more incentives to customers. So how is the competitive dynamics there on the pricing side?
Devin Stockfish: Yes. I mean, so as we've said previously, during the pandemic, when EWP supply was difficult for many of the builders out of necessity, there was some conversion to open web trusses. We've seen that a little bit slower to convert back to EWP, largely as a result just of the low lumber prices that we've seen here recently. So, from a pricing standpoint, that's been a little bit more challenging. Ultimately, we still expect the majority of that to come back to EWP over time, and that will certainly be supported as lumber prices get back to what we would consider a more normalized level. But ultimately, there are a lot of advantages in using in the home. And so, we would expect to recapture that market share over time.
Ketan Mamtora: Understood. And then on the NCS side, Devin, you talked about a pretty nice uptick coming in 2025 in Forest Carbon. Can you give us some sense as to kind of -- how much did you -- credits did you sell in '24? And what do you expect in 2025 and roughly sort of the price expectation there?
Devin Stockfish: Yes. So, in 2024, we sold right around 15,000 credits. Those were also at a premium price, slightly up from what we sold last year. When we think about 2025, the pipeline is filling up. So, as we mentioned, we have seven additional projects that are working their way through the process. The timing on some of those is always a little challenging to predict. We've got our ducks in a row, but you still have to go through third-party audits and there's a whole process that you have to go through. But I would expect a pretty material uptick something in the neighborhood of 5x to 10x year-over-year increase in our carbon sales for 2025. And obviously, we have more coming behind those seven that we're currently in development. So, we're just continuing to build out the pipeline and that will continue to grow over time, and we're just -- we're really pleased with the work our team is doing and I think we're starting to see that progress come to fruition.
Ketan Mamtora: That is a big jump, Devin. Congrats on all the progress you've made there. I’ll jump back in the queue.
Operator: Thank you. Our next question is from George Staphos with Bank of America. Please proceed with your question.
George Staphos: Congrats on the progress during the year. I guess I want to come back to lumber. And Devin, you were saying that from your vantage point, inventories are relatively lean in the channel. We also read and hear that there's uncertainty about the tariffs. But as you were commenting a few minutes ago, certainly, the tariff does go in place is probably more inflationary than deflationary, right? And so, why are we not seeing in your view or what you're hearing from the field more uplift in lumber pricing right now? It seems like we have some supply constraints. We have inventories lean, we have the potential optionality, but that's probably more up and down in terms of the optionality from tariffs. Why aren't we seeing more of an uplift? Does it give us any worry, perhaps, about the overall demand outlook for this year? How would you have us think about that?
Devin Stockfish: Yes. I think there are two things that I would highlight, George. First of all, is I do think the weather here recently, particularly the cold stretch across the U.S. South did impact demand to some degree. So that's a portion of it. But I think with respect to the tariffs, on balance, there has been skepticism in the market that the tariffs are, in fact, going to go into effect. And so, we haven't seen people that are putting a lot of pre-buy orders out to get ahead of the tariffs. And I just -- I think that there has been a disbelief that, that will actually happen or if it does come into effect, maybe there's some delay in the effective date, so people will still have time. I mean I think that's the answer. The latest that we've heard is we'll get a little bit more clarity on that tomorrow. And so perhaps that will provide a little bit more insight into how this is going to come in effect in the time line how quickly it will come into effect.
George Staphos: Okay. Next question is really around capital allocation. Certainly, the Company going back to its goals that have set out back in 2020 has been hitting or exceeding its capital return goals and the value return. The last year the value return to shareholders has been in excess of FAD. How should we think about your priorities in the next couple of years in terms of the dividend, should we continue to expect it grows at 5% or better? You certainly have the maturities coming up in 2026. Not that Weyerhaeuser can't handle that given its asset based. But nonetheless, should we expect a little bit more focus on deleveraging relative to dividend relative to value return to shareholders, given that construct?
Dave Wold: Yes. Well, George, there's a lot in there, so I'll try to take them component by component. I think on the base dividend, obviously, that's a Board decision, but the ability to increase that base dividend is supported by all the work we've been doing over the last few years to increase sustainable cash flow generation. So, all the work we've been doing on Timberlands acquisitions, the growth in the Natural Climate Solutions space, improvements in OpEx, all of those things that give us confidence that no matter the scenario, we feel confident in our ability to increase the base dividend amidst challenging market conditions. So as we think about the debt maturities, yes, we do have $1 billion of maturities coming due in 2026. We feel really good about our ability to refinance those. I don't think anything changes from our overall capital allocation approach as we look at that. The biggest component of that is a three-year maturity that we refinanced back in 2023. There's also some smaller maturities that are a lot older that have a much higher rate. So, all in, we're looking at a rate average in the mid-5s on all the debt coming due next year. So, we should be able to refinance those at comparable rates. But I think just reflecting on what we've accomplished over the course of 2024. This is exactly what the cash return framework was designed to accomplish. We essentially covered our base dividend through adjusted FAD, even in what was probably the most challenging lumber market in about 15 years or so. So, we're quite pleased about how this played out over the course of the year, being able to continue to have that exceptionally strong balance sheet, making progress towards our strategic growth initiatives such as the Alabama acquisitions, the announcement on the new TimberStrand facility while also being able to maintain our programmatic CapEx at meaningful levels and being active in share repurchase. So again, looking at all of those things, I think it demonstrates the power of our cash return framework, why it works so well for us, and it's going to allow us to create that value through the cycle for our shareholders.
Operator: Our next question comes from Hamir Patel with CIBC Capital Markets. Please proceed with your question.
Hamir Patel: Devin, can you speak to your operating rates in lumber and OSB in the quarter? And how would that compare between the U.S. and Canadian operations?
Devin Stockfish: Yes. So operating rates in Q4, kind of in the low 80% range for lumber, high 90s in OSB and somewhere in the low to mid-70s for EWP. In terms of the breakout between the U.S. and Canada, really no material difference. We didn't have a different operating posture north or south of the border?
Hamir Patel: Okay. Great. And just the last question I had. If we do end up seeing tariffs driving maybe a larger uplift in U.S. industry production, how much flexibility do you have to increase your harvest levels in the South and West to meet perhaps a window of higher U.S. output?
Devin Stockfish: Yes. I mean we do have some flexibility in harvest levels. I'll just give you the context that we, as a general matter, don't flex that significantly just because we're always trying to manage within a sustainable harvest range. And so, you're not going to see dramatic changes. That being said, we do have a little bit of flexibility. And certainly, I think in the South, there is adequate fiber availability to support increased manufacturing across the U.S. South at present. So, I don't think that is going to be the bottleneck for ramping up production in the south, if that needs to happen.
Operator: Our next question is from Mark Weintraub with Seaport Research Partners. Please proceed with your question.
Mark Weintraub: Devin, thanks for the color on both potential impact from tariffs. And then also, when you're talking about the operating rates in the different businesses. So, I sort of want to put those two things together. I mean, it sounds like in lumber, you actually have a fair bit of flexibility maybe you could make a little more wood in the U.S. if need be? And as you noted, you're actually not making that much in Canada that you're shipping to the U.S. to begin with. And it sounds like OSB, though, you wouldn't necessarily have that type of flexibility. And then I guess in EWP, it might be more complicated. You've got the -- if you look at operating rates, it sounds like you have flexibility, but they're different products, and they're made in different places. So, to the extent that you could provide us a little bit more thinking on how it might within the business that -- where you'd have flexibility to adjust versus not so much?
Devin Stockfish: Yes. I mean I would just point out on OSB, so we'll talk about EWP as well. On OSB, I mean, certainly, we don't have a whole lot of upside potential because you typically are running full out in the OSB operating posture. And so, it's not as though you can really flex up meaningfully with your U.S. OSB production. But I would also keep in mind, however, ultimately, OSB is going to come in from Canada. The industry needs it. And so, there's going to be OSB coming into the U.S. And that's where our focus on having low-cost manufacturing comes into play. In almost any environment, low-cost wins, and we've been focused on that for a very long time. So regardless of what happens with tariffs, we're still going to be, I think, well positioned relative to most of the industry with low-cost production. On EWP, you're right. We have some different products. So TimberStrand and Parallam are up in Canada. And so, to the extent that there are tariffs that are applied to those products, we'll have to manage that. But the good news is both of those products are products that are very well received in the market. Our customers like those products and need them, and so we'll just have to work with our customers to navigate it. But ultimately, I don't see the demand for either of those products being meaningfully impacted. It will likely have some impact on price over time.
Mark Weintraub: Got you. And then maybe just a quick follow-up on harvest. I mean it looks like you're probably up 3% to 4% in the U.S. South in 2025 versus 2024? Maybe tell me that's about right?
Devin Stockfish: Yes, that's about right?
Mark Weintraub: Yes. And then is that just a function of the acquisitions that you've made? And is this fairly reflective of what we should think about as the sustainable harvest level?
Devin Stockfish: Yes. We're within the range of sustainable harvest. Part of it is acquisitions that we've made. Part of it is we were down a little bit in '24 versus our original plan, largely just due to some weather events in Q3, which we would normally be able to make up in Q4. But just given the dynamic with lumber last year, that was a little bit more challenging. So, some of that volume will roll into '25. But that's, generally speaking, within the range of what we consider our sustainable harvest levels with the caveat that we're obviously continuing to grow the business. And so, as we continue to buy more timber, that will move the harvest levels up over time.
Operator: Our next question comes from Matthew McKellar with RBC Capital Markets. Please proceed with your question.
Matthew McKellar: Looking at OSB, you're expecting moderately higher sales volume in Q1 but also slightly higher unit manufacturing costs. So, I was wondering if you could just please expand on what's driving your expectations on cost there?
Dave Wold: Sure, Matt. Yes, we had a really nice quarter in the fourth quarter from a cost perspective and the OSB business ran really well, increase that production volume. As we look out in the first quarter, we think we'll have another good quarter from a production perspective, but we are seeing a little bit of an uptick in some of the other costs, things like energy and resins that are going to go into that. So, on the whole, that's going to be up slightly, but we continue to be very pleased with the overall operating performance in that business and the continued focus on maintaining the right cost structure.
Matthew McKellar: Okay. Mostly [indiscernible] then. Okay. And then just on the LSL facility, you talked about $100 million in EBITDA there before portfolio integration benefits. How do you think about those portfolio integration benefits look like? Is that mostly, I mean, tightening that pulpwood market in the area, which benefits Timberland's business, being able to serve that demand in a more freight logical way? Or are there other potential considerations as well? And is it possible to quantify all this. I mean, if we're thinking about the economics more holistically, is this more like a 4x build multiples and a 5x multiple?
Devin Stockfish: Yes. I mean, so without giving you a specific number, you got the main ones right. So, when you're talking about a market that could use a little bit more fiber demand to tension up that market. That's exactly right. That is a component. And as we said, 80% of the feedstock is going to be from our timberland. So that will be a nice uplift just in demand for pulpwood in that region. Also, you're exactly right, the logistics savings on having that right in the middle of a significant fee timberland ownership provides benefits as well. So, it really just gives us the opportunity within that particular wood basket to optimize the log flow, which comes with OpEx savings and synergies between those two businesses. So exactly what we're trying to do with the business everywhere we have manufacturing in Timberlands.
Operator: Our next question is from Mike Roxland with Truist Securities. Please proceed with your question.
Mike Roxland: Congrats on all the progress. First question I had, just Devin, I'd love to get your thoughts on what the new administration and what they're doing in terms of suspending the Inflation Reduction Act funding, suspending funding for the infrastructure and investment in Jobs Act. So long story short, the new administration is cutting funding for, let's say, offshore wind power, trying to minimize wind, there probably are negative read-throughs for CCS, if they continue along this track. So, would love to get your thoughts about what the -- anything you're hearing from your contacts, from your involvement in the industry in terms of risks to Natural Climate Solutions, particularly given the new administration?
Devin Stockfish: Sure. Well, I'll answer this by first saying a lot of this is still very much in flux as they think about how they're going to put some of these policies into effect, how this is going to run through the budget, the reconciliation bill. I think there's still a lot of unknowns. But I'll tell you, from our perspective, how we think about it. We're obviously not in offshore wind. Certainly, that does seem to be an area where there is some risk. For us, as we've said, we've got a number of operating wind sites. We've got another one that's pretty close to being done. I don't think any of this impacts the existing or soon to be existing wind sites. On solar, the economics for solar feel pretty good. I don't know that you necessarily need significant government expenditures to make that economically competitive. There are obviously tax incentives that are built into the code. And I think you'd have to, by and large, see the IRA fully amended to adjust those tax incentives, which I am skeptical that you're going to see the IRA repeal or meaningfully amended. And that's really based on a couple of things. First of all, a lot of the money from that program and from the IRA in general, is flowing into Southern red states. And so certainly, I think as the administration and Congress try to dial in how this is going to play out that will be a factor. And so, we'll see how this all progresses. But look, in any event, these things, ultimately, we believe, are all going to happen. The trajectory points towards the need for all of these things over time. Maybe we'll see less outward vocal support for some of these things here in the near term. But our view is that the ultimate trajectory and the momentum behind these things is going to carry these projects and these businesses forward, and we still believe there's plenty of growth left across these sub-businesses.
Mike Roxland: Got it. I appreciate the color. And then just for my second question, in terms of the new EWP capacity in Arkansas, obviously, you currently produce TimberStrand in Canada using hardwood, you're going to be using southern yellow pine in the South. Can you just comment about how the testing has gone, using that furnish? How has it performed? Do you anticipate any issues as you roll it out on a larger scale because assuming that the testing was done on a smaller scale? And then lastly, just your expectations for EWP operating rate in 1Q.
Devin Stockfish: Yes, sure. Well, we've been working on this for a couple of years. We have some of the best wood scientists in all of North America in-house. And so, they've been doing a lot of testing. We are fortunate because we do have an existing mill that we can use to help facilitate some of the testing to get everything dialed in. But we obviously have a lot of confidence that this is going to work well and provide a product that the market wants. So, we feel very good about it. And as we've done a lot of testing, as you would expect, before we roll out an investment of this side. So, feel very good, should be well received in the market. And again, I think that's just a testament to some of the resources that we have internally. That's not as easy as one might think, turning this product to go off of a softwood furnish. So, feel very good about that. In terms of operating rates for EWP in Q1, we're expecting those to be up relative to Q4. And again, Q4, we were kind of in that low 70s rates. So, you'll see that move up in Q1.
Operator: Our last question will come from George Staphos at Bank of America. Please proceed with your question.
George Staphos: Just a quick follow-on on the TimberStrand project. And piggybacking on what Mike was talking about. Recognizing that you've produced these products in the past, EWP TimberStrand is different perhaps than panels different than dimensional lumber. How do you feel about your ability to ultimately hire to run the facility, how do you feel about your ability to staff on R&D and the like related to what you're going to need to build the facility? And then separately, perhaps you've mentioned this before, if you have apologies, do you have a figure that we should pencil in for the CapEx related to that project in 2025, what the cadence might look like, recognizing it's $500 million? And then maybe philosophically, just why not include that CapEx in your FAD. And good luck in the quarter and the year.
Devin Stockfish: Yes. Maybe I'll take the first part and then Davie can cover off on the CapEx component. Obviously, as you would expect, we looked at a lot of different sites as we were thinking about where to put this facility and workforce availability was a key component of that. We are fortunate that the mill manager from our Kenora facility is going to move down to Arkansas and manage the startup. So, we have good resources in place. We're going to be putting some of our top people on getting this mill built and started up. We have a really strong internal R&D resources already. So, there's nothing we need to do incremental to where we are on that front. So, look, I'm not underestimating, you still have to go out and hire quite a few people, and so that's a process. But I feel very good about our plan and how we've got this lined out to make that happen. So, we'll be on track, and I'm sure we'll have this started up and it will go well like our other recent big capital projects.
Dave Wold: Yes. George, from a CapEx perspective on TimberStrand, we've said it's going to be $500 million over the course of the construction period through 2027. It's a little bit fluid on the timing of all of that. I think how I would think about it is this year, we're going to start to ramp up, go through the permitting, initial construction phases as we get towards the end of this year and into 2026, we'll start to receive more substantial pieces of equipment and get deeper into the construction process. So, we'd expect spending to ramp up in 2026 compared to 2025 and then taper off as we get to completion in 2027. And so, as we think about that spend as it relates to our cash return framework and adjusted FAD, our intention, again, is to exclude that CapEx from the programmatic CapEx. The reason being we're going to treat this like we would our other strategic investments like investments in timberlands and other things of that nature. If we included it alongside our programmatic CapEx, we'd otherwise be reducing the amount of cash we're going to return to shareholders. And so that's not our intention. So, as you'd expect, over the course of this year, we'll report out on the CapEx that we're expanding for this project separately, and you'll be able to see that track along the way as well.
Operator: There are no further questions at this time. I'd like to turn the floor back over to Devin Stockfish for closing comments.
Devin Stockfish: All right. Well, thanks, everyone, for joining us this morning, and thank you for your continued interest in Weyerhaeuser. Have a wonderful day.
Operator: This concludes today's conference. You may disconnect your lines at this time, and we thank you for your participation.